Operator: Good afternoon, and welcome to the Ross Stores third quarter 2024 earnings release conference call. The call will begin with prepared comments by management, followed by a question and answer session. If anyone should require operator assistance during the conference, please press star zero. Before we get started, on behalf of Ross Stores, I would like to note that the comments made on this call contain forward-looking statements regarding expectations about future growth and financial results, including sales and earnings forecasts, new store openings, and other matters that are based on the company's current forecast of aspects of its future business. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from historical performance or current expectations. Risk factors are included in today's press release and the company's fiscal 2023 Form 10-K and fiscal 2024 Form 10-Qs and 8-Ks on file with the SEC. And now I would like to turn the call over to Barbara Rentler, Chief Executive Officer. Good afternoon.
Barbara Rentler: Joining me in our call today are Michael Hartshorn, Group President and Chief Operating Officer, Adam Orvos, Executive Vice President and Chief Financial Officer, and Connie Kao, Group Vice President, Investor Relations. Before we get started, on behalf of our board and the entire company, we are excited to welcome Jim Conroy to Ross Stores as CEO-elect next month. Following a two-month transition, Jim will assume the CEO role on February 2, 2025. Jim is a talented and proven retail executive with a demonstrated track record of developing and leading successful management teams and creating tremendous value for shareholders. As I previously announced, I will move into an advisory role at the beginning of fiscal 2025 and will support Jim and our other senior executives on merchandising-related strategies through March of 2027. Let's turn to our earnings results. As noted in today's press release, we are disappointed with our third-quarter sales results as business slowed from the solid gains we reported in the first half of 2024. Although our low to moderate-income customers continue to face persistently high costs on necessities, pressuring discretionary spending, we believe we should have better executed some of our merchandising initiatives. In addition, we estimate a combination of severe weather during the quarter from Hurricane Lane and Hilton, along with unseasonably warm temperatures, also negatively impacted comps by about one percent. Despite the below-planned sales results, earnings were ahead of our expectations. Operating margin for the quarter was up 75 basis points to 11.9% versus 11.2% last year, as lower incentive freight and distribution costs more than offset the planned decline in merchandise margin. Total sales for the period grew to $5.1 billion, up from $4.9 billion in the prior year, with comparable store sales up one percent. Earnings per share for the thirteen weeks ended November 2, 2024, were $1.48 compared to earnings per share of $1.33 last year. Net income for the period rose to $489 million versus $447 million in the prior year period. For the first nine months, earnings per share were $4.53 on net earnings of $1.5 billion compared to $3.74 per share on net income of $1.3 billion for the same period last year. Sales for the year-to-date period grew to $15.2 billion with comparable store sales up three percent over last year. For the third quarter, cosmetics, accessories, and children were the strongest merchandise areas, while California and Texas were the best-performing regions. Similar to the second quarter, DD's Discounts' strong value of fashion offerings continues to resonate with its shoppers, with comp gains exceeding Ross's results. At quarter-end, total consolidated inventories were up nine percent versus last year, while average store inventories were up one percent. Packaway merchandise represented 38% of total inventory compared to 39% last year. During the third quarter, we also completed our expansion program for 2024 with the addition of 43 new Ross and four DD's Discount stores. For the year, we added a total of 89 locations, comprised of 75 Ross and 14 DD's. We plan to close and/or relocate seven locations in the fourth quarter and expect to end the year with 1,831 Ross stores and 354 DD's Discount locations. Now Adam will provide further details on our third-quarter results and fourth-quarter guidance.
Adam Orvos: Thank you, Barbara. As previously stated, comparable store sales rose one percent in the quarter. Operating margin increased 75 basis points to 11.9%. Cost of goods sold improved by 70 basis points in the quarter. Buying levered by 65 basis points mainly due to lower incentives while distribution and domestic freight costs declined by 50 and 40 basis points respectively. Occupancy rose by 25 basis points while merchandise margin decreased by 60 basis points. SG&A cost for the period improved by five basis points, primarily due to lower incentive costs. During the third quarter, we repurchased 1.8 million shares of common stock for an aggregate cost of $262 million. We remain on track to buy back a total of $1.05 billion in stock for the year. Now let's discuss our fourth-quarter guidance. For the thirteen weeks ending February 1, 2025, we continue to project comparable store sales to increase two percent to three percent. Earnings per share for the fourth quarter are planned to be in the range of $1.57 to $1.64, compared to $1.82 in the fourth quarter of 2023. This guidance range includes an unfavorable impact of approximately $0.03 per share primarily from the timing of packaway-related expenses that benefited the third quarter. Based on our year-to-date results and our fourth-quarter forecast, earnings per share for the fifty-two weeks ending February 1, 2025, are now expected to be in the range of $6.10 to $6.17 versus $5.56 last year. As a reminder, last year's fourth quarter and full-year results included an extra week that benefited earnings by approximately $0.20. The operating statement assumptions that support our fourth-quarter guidance include the following. Total sales are projected to decline one percent to three percent. As a reminder, last year's extra week contributed $308 million to sales. We expect operating margin to be in the range of 11.2% to 11.5% versus 12.4% last year. Last year's fourth quarter included an 80 basis point benefit from the extra week. This outlook reflects lower merchandise margin, as we continue to increase the penetration of quality branded merchandise partially offset by lower incentive and freight expenses. Net interest income is expected to be approximately $24 million and weighted average diluted shares outstanding are projected to be about 329 million. Now I'll turn the call back to Barbara for closing comments.
Barbara Rentler: Thank you, Adam. To sum up, we believe we have opportunities to improve our merchandise execution and remain confident that our ongoing focus and commitment to delivering the most will best position our company for profitable growth over the near and long term. At this point, we'd like to open up the call and respond to any questions you might have.
Operator: Thank you. At this time, we will be conducting a question and answer session. If you would like to ask a question, please press the star key followed by one on your telephone keypad. You may press star two to remove a question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the keys. In order to give everyone a chance to ask a question, we ask that you limit yourself to one question only. Thank you. One moment, please, while we poll for questions. And the first question comes from the line of Matthew Boss with JPMorgan. Please proceed with your question.
Matthew Boss: Great. Thanks. So Barbara, can you elaborate maybe on the opportunities to improve merchandising execution that you cited? Any assortment changes for the holiday or just your confidence in two to three comps for the fourth quarter? And then, Adam, as we think about gross margin, maybe just gross margin relative to plan, especially on the merchandise margin side in the third quarter. And any differences in drivers as we think about fourth quarter puts and takes relative to the third?
Barbara Rentler: For Matt, the first opportunity to change is in the assortment. I think we had some execution issues in a couple of businesses that we've identified and that we think we can correct. We didn't probably move as quickly as we should have in some things where there were some, I would say, shifts in the world from a product perspective. So I feel like that's an opportunity and we missed some volume there. And also as we continue to iterate on our brand strategy and keep improving the brand strategy, listening to the customer and making those changes. So that continues. In terms of the fourth quarter and the acceleration and guidance to two to three, you know, as you get into the fourth quarter, many of the businesses that are really important during the holiday season, and I know you know this, whether it's gifting or cosmetics, you know, those businesses, accessories, have been strengths for us. So as we go into that period, we're going into some of our strongest businesses and also, you know, gifting last year in a lot of our home world was very good, and we're building on that. So I feel like those businesses, you know, should do well during the period. They're doing well now. And, you know, that gives us the confidence on the two to three. And, again, we'll continue to iterate on our other strategies in the remainder of the box and where we had some execution issues. We are in the process of, you know, fixing them. And, obviously, you know, we had some weather issues in Q3 that, you know, who knows what will happen from a weather perspective across the country for any of us. But we also had some of that.
Adam Orvos: And Matt, on your question on Q3 and Q4, I would start with merchandise margin. I mentioned it declined by 60 basis points in Q3. Now that result benefited from better-than-expected shrink results as we completed our physical inventory process and trued up our results in Q3. And then looking forward to Q4, probably an uptick in pressure for merchandise margin as we continue to push for more brands that are sharply priced to deliver the strong value proposition that we want for our customers in the holiday season. Domestic freight, we mentioned, was worth 40 basis points in Q3. I would expect that to be pretty consistent in Q4. I'll always caveat it with fuel costs, but assuming they stay where they are, I would expect that to be comparable. Distribution costs again were another source of strength for us. We mentioned the packaway shift that we have to take into account, so that'll put pressure on us in Q4. Incentives on both sides will continue to be favorable. We would expect in the fourth quarter as we're again up against a 2023 where we were outperforming in a significant way. And then lastly, obviously, we have the fifty-third week impact that we talked about.
Matthew Boss: Great color. Best of luck.
Operator: And the next question comes from the line of Mark Altschwager with Baird. Please proceed with your question.
Mark Altschwager: Thank you for taking my question. Barbara, you are going to be passing the reins here in a few months but remaining in an advisory role. Maybe speak a little bit more to your areas of focus as you transition your responsibilities. Relatedly, the merchant team still seems to be in the early innings of this value strategy or brand strategy iterating there. I guess then any changes to expect there or, you know, could anything change there with the new leadership? Thank you.
Barbara Rentler: My areas of focus obviously will be to spend time with Jim and help him onboard. And to spend my time on merchandising. It will be an advisory role heavily focused on merchandising. I don't foresee any changes to our strategy because our brand strategy is really the key to our market share gains. I don't foresee that. And, you know, but it'll continue to iterate, and that's really where I will spend my time. Obviously, Jim is a very seasoned CEO. And he complements the strengths that we have in merchandising and our operational team. So I feel like Jim is a great add. And, you know, the team will be a good combination together and my role will be to make sure that merchandising continues going forward and that Jim gets transitioned appropriately.
Mark Altschwager: Thank you. Best of luck over the holiday.
Operator: And the next question comes from the line of Paul Lejuez with Citigroup. Please proceed with your question.
Paul Lejuez: Good day, guys. Couple of quick ones. Curious if the recognizable brands and how quick you can fix those issues. And, Adam, any quantification of that shrink benefit? How much it helped the merch margin line? And then also curious if you could talk about the performance of some of your initial store openings in the northeast. Thanks.
Barbara Rentler: The execution issues are actually merchandise. I would say merchandise. This is not so much on the branding. However, you know, the brand strategy, we keep iterating on that and keep listening to the customers. We keep making changes as we go. So obviously and, you know, as we started this in the beginning, I said each business is at a different point at the starting point to where we are now. And so, you know, we keep responding to what the customer is telling us. So I would say that across the board will continue to do. And just some things we're just, yeah, execution issues, which we can fix.
Michael Hartshorn: Paul, on the shrink, we don't break out shrink separately. What I would say is we, and you know this covering us from over the years, is we completed our physical inventory in the third quarter. We had assumed that shrink was going to be worse for a couple of reasons. One, just the external landscape, but also the increased number of brands in the store. So what that meant is we accrued more going up to physical inventory. And so we took a larger benefit in Q3 that helped EBIT margin not only versus what we guided but versus last year. For the year, though, shrink looks like it's going to be about flat to 2023, again, with the upside in the third quarter. Your last question, Paul, was on the northeast. It's too early to comment on the overall store productivity, but we are pleased with what we've seen thus far.
Paul Lejuez: Thanks, guys. Good luck.
Operator: And the next question comes from the line of Lorraine Hutchinson with Bank of America. Please proceed with your question.
Lorraine Hutchinson: Thank you. Good afternoon. As the branded strategy continues to evolve, do you view this as a multiyear merchandise margin headwind? And are there other offsets that you're working on to ease some of this pressure in 2025 and beyond?
Michael Hartshorn: Lorraine, our expectation is that over time, as we build our brand relationships and as we learn what works best with our customer, that over time, it would be earnings accretion. And we'd expect slight improvements of margins over time.
Lorraine Hutchinson: Thank you.
Operator: And the next question comes from the line of Chuck Grom with Gordon Haskett. Thanks. Good afternoon, and congrats on your upcoming retirement, Barbara.
Chuck Grom: Talk about the cadence of sales throughout the quarter? And then also the composition of the comp between traffic and ticket? And then if you could double click on ticket between UBT and AUR. Thank you.
Michael Hartshorn: Sure. On the cadence during the quarter, comps were strongest early in the quarter as the weather became more difficult gradually as we moved through the quarter. We did see improvements in sell-throughs in markets when the weather became more seasonable. As we said in the commentary, the comps were driven by traffic. The other component of comp was relatively neutral.
Operator: And the next question comes from the line of Simeon Siegel with BMO Capital Markets. Please proceed with your question.
Simeon Siegel: Thanks. Hi, everyone. Good afternoon. Can you dig in a little bit more to the brand strategy pivot? I guess just first, we need to contextualize, how meaningful is the shift within the mix? Maybe has the early reception? Just curious if you're seeing learnings from or feedback from vendors or consumers maybe just following up on the range, just recognizing the merch margin pressure now, I'm just wondering, ultimately, with better brands, do you think you get to raise price there to fix that margin pressure of so long this take? And before maybe the customers can accept those higher price points at the stronger value? Thank you.
Barbara Rentler: Okay. On the early customer acceptance of state of Ohio branches, you know, in many of these businesses, these are not major branches. Right? And so just want to emphasize, you know, that the friendship is good, better, best. All kinds of values and pricing moderate and above. And so in some businesses, the branches weren't that great because they were already at the, I would say, appropriate level that the customer is responding to and really likes, and so it is we didn't do it. In other areas, we felt like we needed to make bolder moves. And ladies, we felt like we needed to make bolder moves than we have. And so with again, we're at different journeys and different acceptance levels by the customer based on what the product is and the area that it is. So it's not just, you know, a straight line but I could say, hey. This is where we are completely on the journey. Some places, we feel that we're there. And in other places, we feel like we have a long road to go, and not a long road. That's probably the biggest question. You know, we have a ways to go with figuring out exactly what it is she wants. And that really tends to be more in our ladies' business. And as you know, ladies is a tougher business. And so we're learning. Merchants are shifting. As the customer is voting, and we want to get that right mix of, you know, right, brands that she likes. And a mix of good, better, best at the level that she enjoys, and we want to just make sure that the entire thing that we're giving compelling values there. Particularly in ladies as ladies is a tough business. Always compared to other parts of apparel.
Simeon Siegel: So thanks. And so would you expect AUR to naturally progress higher through this, or is it not that meaningful?
Barbara Rentler: No. Not necessarily. It's not an AUR strategy. It's really a brand and value. So we're not going in and saying we want to raise AUR by x. We're putting out different brands at different levels in a good, better, best. And then it's seeking its own level with the customer. We can see what they like more than others and making adjustments as we go. Because for some businesses, they didn't have to make as big a move perhaps the ladies' business has to make. But it's not an AUR strategy. It's a value strategy. At all brands here so that we're addressing all the customer base. Right? So we have customers who like every price point, and we want to make sure that we fine-tune that so that we can consider that we can still, you know, give that treasure hunt experience to all customers. A store. So, you know, it's a learning and adjustment as we go, and we think that ladies will continue to improve as time goes on. And some other businesses are again, some are tweaked. And some are bigger moves. And the merchant team is very, very on this, and we are very focused on value. Because delivering compelling values is really the single most important thing we need to do. For our future in farm market checking.
Simeon Siegel: Great. Very much. Good luck for the holiday.
Operator: And the next question comes from the line of Adrienne Yih with Barclays. Please proceed with your question.
Adrienne Yih: Good afternoon. And Barbara, congratulations on your upcoming retirement as well. Thanks. So just to sort of like sorry. Another question on this. Have you given any color on what the kind of brand penetration or the tweaking that you've done? Like, how much tweaking? Is it, you know, mid-single-digit percent of the assortment? And I know it's going to be very, very hard to do that on a global basis. But any color there on the amount more in brands? And then, Michael, or Adam, perhaps, if you could help give us some color on the differential and guess it'll be different per brand with the differential to kind of the current merch margin is, you know, relative to kind of what a brand might be, like the increased brand penetration. And I guess my final just, like, wrap up on that. Back when you were doing fourteen, fifteen percent operating margins, the gross margin was, you know, a hundred and change, higher twenty-nine percent. So if we do have kind of merch margin pressure, is the offset to come from leverage from just, you know, gaining, you know, higher than your historical kind of one to two comp? Is that how we should think about it? Thank you.
Michael Hartshorn: I'll start with your last question first. It's Michael. How we see our operating margins going forward, obviously, we have a model over time driven partly by new store growth, comp growth, which has historically been in the three percent to four percent range, and some operating margin improvement in the middle and then our share buyback. We have initiatives throughout the company whether it's technology investments, whether it's cost control, to be able to offset any impact to merchant margins. As I said though earlier, over the longer term, we believe that we can grow merchant margins from this base based on our vendor relationships as this gains traction and also we learn more about what the customer wants.
Barbara Rentler: And in terms of the penetrations, I mean, you know, that's very it's hard to do your right. You can't do it at a global level. It's different by business, and so it's hard to do that. I think that the thing you know, as we started this whole brand thing, you know, and as I sit back and we've been talking about we've talked about brands, we always had brands in the store. I mean, our business model is to have brands. But what we realized is that in some getting surveys and feedback and everything, and in some areas, we needed more. What more is, you know, it is something that you can't I can't stick a number say, hey. This is what we're going to march to because the customer has to decide what that is. I think the most important thing for us to recognize and for everyone to recognize is that we're responding to what she says. Right? And so and then making changes to it. It's hard to just pick a it can't pick percent. Some areas, you know, if we were talking about an area like shoes, we would have said we, you know, we are highly branded. We're highly branded. You know, there weren't so many changes. So it just depends on what it is. I can't give you one number. And the other thing, it will seek its own level. And we'll know we'll know that we've got to like, in some businesses where we feel like we are where we want to be, you know, in some of those, we'll know. We'll know by the terms. We'll know by the markdown. We'll know by how quickly the merchandise is moving through the store and, you know, I think that's really the way to go, which is why it's kind of hard to just on a five. If we're going because the biggest mistake we can make with these is picking a number and just kind of really forging forward to a very large number that maybe is incorrect. So we started out with a number to begin. And we keep iterating again on what she's telling us. And that could be different by product, and it could be different by where I am in some of our business classification.
Operator: And the next question comes from the line of Brooke Roach with Goldman Sachs. Please proceed with your question.
Brooke Roach: Good afternoon. Thank you for taking our question. Barbara, can you comment on what you're seeing in the macro backdrop for the Ross Stores banner? Outside of the weather events that we saw this quarter, have you seen any change in the way that the consumer is engaging with the brand? And then as a follow-up, it sounds like DD's is still outperforming the Ross Stores banner. What insights are you gaining from that regarding your low-income consumer or is that an execution differential? Thank you.
Michael Hartshorn: It's Michael Hartshorn, I'll start with the DD's. First, it potentially is the DD's group and merchant have done a very nice job, and we're happy with the adjustments. We've been able to make in the DD's chain been able to improve our value and fashion offerings and it's resonated very well. With the customer and DD's outcome for us for the quarter. One other bright spot for DD's is the newer markets where we slowed growth have improved. But we need to see given that their sales volume started at levels below our expectations, we'll need to see sustained growth there before we ramp up new store growth in some of those newer markets.
Barbara Rentler: And, Brooke, give me a favor. Give me more flavor around what you want as you're saying the customer engaging with the brand? You're just saying that is there any change in the macro or consumer engagement with your business as we've moved through the early holiday season outside of the weather events?
Brooke Roach: Yes.
Barbara Rentler: I think when, you know, I think if we went through this third quarter. You know? I think, you know, it started the third quarter started off strong then weather came. And then obviously, as Michael said before, as the weather changed by region, we watched the consumer come back. So part of it is weather. And then, you know, there's a lot of shifts going on as holidays are coming earlier. This year. So I think part of it is just that. And I think, you know, an earlier Christmas, I think, might change a little bit of the dynamic to have a customer's gonna shop. You know, it's been a long time since we've had Christmas the week before. So but, yes, coming out of the weather, the customer did come back. Brooke, from a just a customer basis on whether an income basis or age basis. We did not in Q3. We haven't seen over time a significant shift on that basis either.
Operator: And the next question comes from the line of Alex Straton with Morgan Stanley. Please proceed with your question.
Alex Straton: Perfect. Thanks so much. I just wanted to focus on the full quarter guidance. Is it correct that the outlook hasn't changed much from last time we spoke except for the packaway shift? Or have some pieces within there moved? And then just on the comp acceleration that you're still embedding, should I just assume that that's reflective of what you're seeing quarter to date or what gives you the confidence there?
Michael Hartshorn: On the guidance, it hasn't changed. The only thing that's changed is packaway. On the guidance itself, first, the unfavorable weather had a negative impact on the third quarter that we're not expecting in the fourth quarter. We'll see how it plays out. As Barbara mentioned earlier, as we move into the fourth quarter, many of our merchandise areas that have been performing well are important fourth-quarter and holiday businesses. And then finally, the guides based, we feel good about our assortments. We have planned for the holiday, especially in gift-giving.
Operator: And the next question comes from the line of Michael Binetti with Evercore. Hey, guys. Congrats on a nice quarter.
Michael Binetti: This is a really big margin beat for a one comp, guys. Is there any near-term change in the leverage point we should think about or, you know, could you help contextualize what you think this in this quarter would not repeat if in the theoretical if we saw one comp again? And then on the branded goods strategy, maybe you just help us understand if the underlying merch margin decelerate or accelerate versus 2Q? You know, if we exclude the shrink true-up, are we past the peak of the branded goods pressure? Or what would maybe what would cause it to accelerate or continue to moderate?
Michael Hartshorn: Yeah. Michael, on the first piece. So our EPS beat, you know, we talked about merchandise margin coming in better, and expected related to shrink. I would say, we also felt good about just our overall cost management within the quarter. So multiple parts of the P&L benefiting. Now does that change our leverage point? No. We still think three to four percent comp growth is the right place for us to leverage. The shrink is obviously a one-time piece. Right? Because we true up in the third quarter as we always do, and then of course, the packaway is one-time in nature. So I think the only other moving part that we haven't talked about, our EPS benefited by higher interest income. That, you know, that embedded in our guidance is some pressure, you know, assuming further rate cuts. The balance of the year.
Michael Binetti: Michael, we don't our leverage point hasn't changed. As Adam said, we had a lot of one-timers in the quarter looking forward and even longer term, the leverage point is pretty constant between three and four.
Operator: And the next question comes from the line of Dana Telsey with the Telsey Advisory Group. Please proceed with your question.
Dana Telsey: Hi. Good afternoon, everyone. As you think about the implementation potentially of tariffs going forward, how do you think of your assortment and pricing relative to the tariffs that may come into place and remind us of what happened last time? And then when you think about some of the changes in management, like with DD's, any holes to fill or with this branded strategy, is anything shifting within DD's also given the improved results that we've seen there? Thank you.
Michael Hartshorn: Dana, on the tariffs, we'll be closely monitoring any developments there, I'm sure everybody across the industry is doing so. It's too early to say what the potential impact could be on us and the rest of retail. Our focus in the case of a tariff increase would be to maintain a pricing umbrella versus traditional retailers and offer the best values to the customer. We will not be a leader in raising prices.
Barbara Rentler: And in terms of DD's, DD's has a strategy in place that they've been working on. And that'll just continue. So there won't be any other new strategies or additional changes. They'll just be building upon their successes.
Operator: And the next question comes from the line of Ike Boruchow with Wells Fargo. Please proceed with your question.
Ike Boruchow: Hey, guys. Adam, sorry if I missed it, but could you give us maybe an update on freight in the fourth quarter? And then maybe just high-level state of the union domestic and ocean into next year is how we should expect that line item to kind of progress based on, like, what you have in front of you right now?
Adam Orvos: Yeah. On the domestic side, so we're forty basis points of improvement in Q3. Probably expect something similar in Q4. It's been tracking pretty consistently all year. On the ocean side, it was a negligible impact in the quarter. You know, in the short term, would expect that. Obviously, we're watching some of the potential disruptions and, you know, watching for the resolution of the strike issue that would impact the East Coast ports and the Gulf ports. So we're watching all those things. But with what we know right now, don't see that as anything other than neutral. And then we'll have to see as you know, we'll come back and talk to you at the beginning of the year on how we see 2025 and beyond. And once we get into the bidding process for next year.
Operator: And the next question comes from the line of Jay Sole with UBS. Please proceed with your question.
Jay Sole: Great. Thank you, Barbara. I'm just wondering if there was anything related to inventory availability or just timing of buying that sort of contributed to some of the issues and execution that you, you know, you decided that impacted Q3? Thank you.
Barbara Rentler: Well, in terms of inventory availability, you know, it's favorable. Again, some businesses have more availability than others. In terms of the impact of buying to Q3, I'm not sure I understand what you mean, Jay, by that. It's just that we have found that we were buying or just or that contribute to the quarter's performance? I'm not sure which one you want me to answer.
Jay Sole: Right. Like, perhaps, like, did you buy too much inventory too soon, not leaving enough open to buy? Did you sort of...
Barbara Rentler: No. I don't think that was part of the issue. And in fact, in seasonal businesses, you know, we leave money open, you know, things like outerwear or whatever because, you know, history would tell us that, you know, you don't know how it's going to start. And so with these merchants leave liquidity so that we don't get caught with that. So no. I don't think it has to do with the speed of what we bought or, you know, I think it's just some of the choices we made or didn't make and but it has nothing to do with that.
Operator: And the next question comes from the line of Marni Shapiro with Retail Tracker. Please proceed with your question.
Marni Shapiro: Hey, guys. Thanks. Congratulations on the hire and Barbara, you will be missed. I have a quick question for you. The dollar stores collectively have been under a lot of pressure and have made announcements that they're closing a lot of stores. And I'm curious if you could just give us a little insight into how many if any, of your DD's stores or Ross stores, in fact, compete with them in similar areas. Is there an opportunity as they close stores if you'd seen some of those stores close already, and you've seen the customer for certain items shift over to you? If you could just frame that a little bit because it's obviously a big retail conversation.
Michael Hartshorn: Yeah. I don't have the exact number of stores. Obviously, smaller footprint, a lot more consumables than what we have. In DD's? So I would say it's hard to see any impact. Very different merchandise mix. So could there be some upside potentially, but given what's in the box, I don't see it as a huge upside.
Barbara Rentler: It's really consumable, Marni. That's really their business is so big, and DD's does a business in consumable. But I think that's I think in what they have in there, I think that's probably to my point, that's probably the biggest overlap slash potential opportunity.
Operator: And the next question comes from the line of Aneesha Sherman with Bernstein.
Aneesha Sherman: Thank you for taking my question. Barbara, if I can have a follow-up on the brand strategy. So you talked about good, better, best. Are you seeing any differences in the performance of the good versus the best in terms of sell-through and velocity? And then, a follow-up on the weather comment. You said the weather impact to comp was about one percent. As we've come out of some of the weather issues, have you seen the comp run rate in those impacted stores improve? By about that magnitude coming out of the back half of the quarter. Thank you.
Michael Hartshorn: Aneesha, on the weather, yes. We did. And I said previously, we did see improvements in sell-throughs in markets where weather became more seasonal within Q3.
Barbara Rentler: And then on a good, better, best, you know, we turn put overall very quickly in the store. I mean, there's always some turn differential, but the overall churn on apparel is very fast. So think what we I would put it this way. We own the right fit to the right value. It all turns very quickly. If we own the wrong goods, it doesn't turn as quickly. So but overall, the entire box, you know, returns we drive receipts. It's our mission is to drive receipts not on inventory. So churn is always on our mind, but it's again it's about it's really about the value, putting on floor, the product and the value. It always comes back to the product and the value, and then it will turn quickly to the No. Within a treasure hunt environment, if I don't buy, it won't be there next.
Operator: And the next question comes from the line of John Kernan with TD Cowen.
John Kernan: Excellent. Thanks for taking my question. Maybe just to go back on the real estate theme, off-price, whether it's Ross Stores, DD's, your competitors at TJX and growing to the a lot of store growth plans, the next two, three, five years. How much the real estate availability for Ross Stores and across really, regionally, northeast, west, southeast, all countries are? What's your view on the overall availability outlook in the quality of real estate for off-price retail right now?
Michael Hartshorn: Sure, John. I'd say overall, we feel good about what we have and, you know, the real estate landscape. And we have a healthy pipeline for the next couple of years. I would say, you know, real estate is tight. There's not a lot of new centers being constructed. And for us, there's increased interest from other retailers and the types of real estates that we typically prefer. That said, you know, we have a very strong team that has a methodical process of developing a healthy real estate pipeline to support our growth plans over the next number of years.
Operator: And the final question comes from the line of Laura Champine with Loop Capital Markets. Please proceed with your question.
Laura Champine: Thanks for squeezing me in. Your incoming CEO's got a difficult task. I'm curious whether that will likely change the structure of his direct reports or responsibility set. And, also, Barbara, to the extent that you're comfortable talking about it, I think that this is a pretty insular end to especially as you move up the ranks. Why is now a good time to bring someone in from outside off-price from a smaller company?
Barbara Rentler: Okay. So responsibilities, you know, reporting to him will be two one twenty-five year plus veteran and the other thirty-year plus veteran. So I think from a merger perspective and tenure, and below that level, the group the average tenure is around twenty years below them. So I feel like I think that's fine. I actually think it's good. I think so he's got a very strong bench below him. That understands off-price and, you know, yeah. I mean, I'm very comfortable that the mix is good. And, actually, I think Jim complements some of the talent that we have in the organization. You know, in terms of timing, you know, look, a year and a half ago, when they're in June of 2023, you know, we announced internally, externally, you know, I was going to step down. And the agreement was that with the board that if we found the right person looking internally at externally, the whole thing. When we found the right person, that we would hire that person, I would move to an advisory role. So I don't know if it's necessarily the timing with where we are with this brand strategy. I think the single most important thing is to have the right person. And that to me is in the handoff. That's critical. Right? So I do. I think Jim is the right person. And so and, you know, obviously, there's a lot of tenure at Ross of people who've been here a long time, not only me, but Michael and Norman. You know, there's a lot of people here who've been here a long time. So you know, Jim will learn the business. But I don't it had nothing to do with, you know, we have our branch strategy. No. We're not going to when you find the right person, Lauren, you know. When it's right, it's right, and Jim is the right person. And so that really was a decision, and I was part of that decision. So I feel good about it. And clearly, we're going to make sure that Jim is successful because we have him, you know, pretty surrounded by true off-price veterans who have been doing it, you know, I'm getting older as I'm saying this to you, for years and years and years. But that's really what we've done. And that's really why the timing kind of, you know, it is earlier, but again, when you find the right person, I'm sure you've all done searches. Everyone on this call when you find the right person, you really have to, you know, really have to jump on I'm going to say jump on the opportunity being an off-price. The right so, you know, everything is opportunistic. And so I think the timing is good for the company and he'll be supported all along the way.
Operator: And ladies and gentlemen, at this time, there are no further questions. And I would like to turn the floor back over to Barbara Rentler for any closing comments.
Barbara Rentler: Thank you for joining us today, and I hope everybody has a happy holiday.
Operator: And ladies and gentlemen, that does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.